Operator: Good day and thank you for standing by. Welcome to the NVE Corporation Conference Call on Third Quarter Results. At this time, all participants are in a listen-only mode. After the speaker's presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker today, Dan Baker, President and CEO.
Daniel Baker: Good afternoon, and welcome to our conference call for the quarter ended December 31st, 2023. This call is being webcast live and recorded. A replay will be available through our website nve.com. I'm Dan Baker and as always I'm joined by Accounting Manager and Principal Financial Officer, Daniel Nelson. After my opening comments, Daniel will present our financial results. I'll cover customers, products, and marketing. Then we'll open the call to questions. We issued our press release with financial results and filed our quarterly report on Form 10-Q in the past hour following the close of market. Links to the press release and 10-Q are available through the SEC's website, our website, and on X formerly known as Twitter. Comments we may make that relate to future plans, events, financial results or performance are forward-looking statements that are subject to certain risks and uncertainties, including, among others, such factors as uncertainties related to the economic environments in the industries we serve, and risks and uncertainties related to future sales and revenue as well as the risks factors listed from time to time in our filings with the SEC, including our annual report on Form 10-K for the year ended March 31st, 2023, as updated in our quarterly reports on Form 10-Q for the quarter ended June 30th and December 31, 2023. Actual results could differ materially from the information provided and we undertake no obligation to update forward-looking statements we may make. We're pleased to report strong earnings, comprehensive income, and cash flow despite decreased revenues from a record quarter a year ago. Daniel Nelson will cover the details of our financials. Daniel?
Daniel Nelson: Thanks, Dan. Total revenue for the quarter ended December 31, 2023 decreased 9% compared to the prior year quarter. The decrease was due to a 12% decrease in product sales, partially offset by a 94% increase in contract R&D revenue. The decrease in product sales was primarily due to decreased purchases by existing customers, particularly in the defense industry and the semiconductor industry downturn. The good news is that the industry is gaining strength and forecasts for a strong industry recovery in calendar 2024. World Semiconductor Trade Statistics is forecast in the global semiconductor market to grow 13% in 2024 compared to a 9% decrease in 2023. Product sales to defense markets can fluctuate and were especially weak in the quarter. This was related to the timing of procurement cycles and we expect these sales to recover in this quarter, the March quarter. The increase in contract R&D revenue was due to new customer research and development contracts. Total expenses decreased 16% for the third quarter of fiscal 2024 compared to the third quarter of fiscal 2023, primarily due to a 23% decrease in R&D expense or 4% decrease in SG&A. The decrease in R&D expense was primarily due to the redeployment of resources to customer funded research and development projects. The decrease in SG&A was primarily due to decreased performance-based compensation accruals. Interest income for the third quarter of fiscal 2024 increased 21% due to higher interest rates. Our effective tax rate, which is the provision for income taxes as a percentage of income before taxes, decreased to 16% for the third quarter of fiscal 2024 compared to 19% for the third quarter of fiscal 2023. The decrease was primarily due to increase in certain tax deductions. Our effective tax rate can vary from quarter-to-quarter and may be higher in future quarters than in the past quarter. The 1% decrease in net income from the third quarter of fiscal 2024 compared to the prior year quarter was primarily due to decreased in revenue, which was nearly offset by decreased expenses, increased interest income and a lower effective tax rate. Comprehensive income increased 8% to $4.93 million from $4.56 million the prior year quarter. It was a solidly profitable quarter with gross margins of 80% of revenue and net margin of 62%. Total revenue for the nine months ended December 31, 2023 decreased 11% compared to the nine months ended December 31, 2022. The decrease was due to an 11% decrease in product sales and a 20% decrease in contract research and development revenue. Net income decreased 8% and comprehensive income increased 3%. Net cash provided by operating activities increased 2% to $15.1 million for the first nine months of fiscal 2024 compared to $14.7 million for the first nine months of fiscal 2023. The strong operating cash flow more than cover our three dividend so far this fiscal year. And cash and cash equivalents plus marketable securities increased to $54.7 million from $53.3 million at the start of the fiscal year. Purchases of fixed assets have been only 17,000 so far this fiscal year, but we'd expect it to increase significantly in future periods. Now I'll turn the call back to Dan Baker to cover the business. Over to you, Dan.
Daniel Baker: Thanks, Daniel. I'll cover customers, products, and marketing. We're proud to supply products to some of the world's most demanding customers, including Abbott's Pacesetter subsidiary. Abbott is the leading supplier of implantable medical devices. We recently executed an extension to our supplier partnering agreement with Abbott. The extension is through the end of 2024 and includes price increases that will help offset our cost increases. We have had a formal partnering agreement with Abbott since 2006, and this is the 10th amendment to extend the agreement. The agreement amendment was filed on a current report on Form 8-K and incorporated by reference in our just filed 10-Q. It is available via our website or the SEC's website. We do long-term research to build our technology portfolio and help advance the field of spintronics. In the past quarter, NVE, along with researchers from the University of Texas and Virginia Commonwealth University, published research on technology that could provide the energy efficiency needed to accelerate the use of magnetic tunnel junctions in memory, logic and neuromorphic computing. Magnetic tunnel junctions or MTJs are spintronics structures we help pioneer that we use in many of our products. There are links to a recent journal paper and a conference presentation on the subject on our papers and presentation webpage and our X and LinkedIn feeds. A key advantage of our technology is that our products are extremely rugged. We extended that advantage with two product line extensions in the past quarter, extended temperature isolated network transceivers and ultra-high isolation data couplers. The new extended temperature products include a transceiver that's billed as the fastest such device in the industry and allows high speed data transfer in harsh environments, such as the industrial Internet of things and power conversion modules. The new parts were requested by a customer. Isolation voltage is the key figure of merit for data couplers. It's what makes them isolators. We've long had best-in-class isolation voltage. And in the past quarter, we extended that advantage by increasing the isolation voltage rating on several of our unique V-Series isolators to 7 kilovolts. With required safety margins, this means the parts that are just three tenths of an inch wide can withstand 8.4 kilovolts for at least a second. Demonstrations of the extended temperature and higher isolation products are on our website and YouTube channel. Certifications help us compete with larger, better known companies by providing credibility and reducing perceived risk. In our previous call, we reported we had earned the prestigious CE mark for our line of the world's smallest DC to DC converters. In the past quarter, we also qualified our data couplers with integrated DC to DC converters. These devices transmit data as well as convert power in a single integrated circuit less than an eighth of an inch square. They help solve an important challenge in power conversion systems by transmitting data between the subsystems on different power supplies. Our distributors have told us the CE mark could enable additional sales in Europe. The key to qualifying for the mark was rigorous testing for radiated emissions. These emissions are a problem with conventional parts because they can interfere with other electronics. In addition to the line extensions, I just summarized new products in 2023, we began marketing products, including more products combining data couplers with isolated DC to DC converters to transmit power as well as data. Long-term product development programs in the past year included Next Generation MRAM for anti-tamper applications, Next Generation sensors for hearing aids and implantable medical devices and extremely sensitive TMR sensors as well as wafer level chip scale sensors. Trade shows are an important part of our marketing strategy. We supported distributor exhibitions at four European shows in the past quarter. AGRITECHNICA in Hanover, Space Tech in Bremen, SPS in Nuremberg, and MEDICA in Dusseldorf. We also exhibited under our own banner at the Medical Design and Manufacturing Show in Minneapolis, which was part of the Advanced Manufacturing event. Some of the trade show demonstrations are on our website and YouTube channel. Now I'd like to open the call for questions. Josh?
Operator: Thank you. [Operator Instructions] Our first question comes from [Pete Prove] with individual investor. You may proceed.
Pete Prove: Hey, Dan. On last quarter's call, I asked a question about licensing your IP, and you gave a great answer saying that you would do all manufacturing in-house and you wouldn't license it, but you would maybe manufacture under other brands. My question today is, could you talk a little bit about with all the investments you've made in equipment and facilities, what your potential revenue for the business is with your existing equipment and facilities and running two, three shifts and so forth, and maybe just give some color of what the potential could be? Appreciate it.
Daniel Baker: Yeah, that's a great question, Pete. So in terms of our capacity, we don't have a, it's hard to give a specific number because it depends heavily on the mix and which equipment would be used for the products. But in general, we do not run, we try not to run close to our capacity. We're not like conventional semiconductor companies which need to run very close to their capacity at high utilization, or they run into, they just can't cover their fixed costs. Our cost structure is different because of the uniqueness of our technology. So our goal is to have plenty of capacity. That allows us to provide shorter lead times for our customers, and to provide more assurance with redundancies and extra equipment that in the case of a problem with our equipment, we'd be able to continue to produce the products that our customers need. So in general, we run at relatively low percentage of our capacity. We have adequate room to grow. We are looking at increasing our capital expenditures, as Daniel mentioned in the prepared remarks in the coming year, to increase our capacity further and to ensure that we don't have any bottlenecks to continue our growth.
Pete Prove: Great. Thank you so much. Appreciate it.
Operator: Thank you. One moment for questions. Our next question comes from Steven Lewis with Lewis Capital Management. You may proceed.
Steven Lewis: On the previous call, you said you were pleased to report for six months in September, and I indicated I wasn't sure what you were pleased about, but then I thought you said something about there were some orders that would come in that would lapse over into the next quarter. The stock went from 80.5 to 66.5 in a day. Now here you are pleased with nine months. So when do we start talking about expectations and budget and accomplishment and forget the pleasing part.
Daniel Baker: Well, this is Dan Baker. We were pleased with the results in the context of the markets that we compete in with a slowdown in the industry. And then as Daniel mentioned in the prepared remarks that we have a significant defense business that can be variable from quarter-to-quarter. And as he said, we expect that to recover in the current quarter, the March quarter. So we're optimistic about the future and we have an excellent order flow. The industry is strengthening, as Daniel mentioned. And so we were pleased with the results under the conditions and we look forward to better results and growth in the future.
Steven Lewis: What were your results for the quarter versus your expectation for the quarter in October?
Daniel Baker: Well, as you probably know, like most public companies, we don't provide forward-looking guidance, but we were --
Steven Lewis: No. I'm talking about your expectations internally.
Daniel Baker: Right. So we don't disclose our internal expectations for obvious reasons. We're not permitted to do so if we're not giving forward-looking guidance. So - but what we looked at was what are the conditions in the industry, what is the defense business backlog and we were pleased with the performance of our team, with our production, with our sales team under those conditions for the quarter.
Steven Lewis: Do you think tomorrow your stock will reflect what you're so pleased about?
Daniel Baker: We're generally not in the business of predicting our stock price. We're not very good at it and I admit to being biased. I almost always think the stock is undervalued and I have a fair amount of exposure to the company's stock, but I do that because I think it's an excellent value and an excellent investment. But that's my personal opinion.
Steven Lewis: Thank you.
Daniel Baker: Thank you.
Operator: Thank you. [Operator Instructions] One moment for questions. Our next question comes from [Chris Makovsky] [ph], private investor. You may proceed.
Unidentified Analyst: Hello, good afternoon. I wanted to ask more about the general conditions of the industry. You said that the military industry will improve in the present quarter. Can you tell us anything about what you're seeing in the general industry and the medical industry?
Daniel Baker: In the general industry, as we said in the prepared remarks, we are seeing a strengthening of the semiconductor market as we go into the New Year into 2024. And the WSTS, the World Semiconductor Trade Statistics organization is forecasting growth of double-digit growth in 2024, 13% compared to a 9% decrease in 2023. So the numbers haven't been tallied for 2023, but the latest forecast was for a significant decrease for the industry in 2023 and a significant increase in 2024. And that I think coincides with what we're hearing from our customers that the industry is starting to pick up. Obviously, we are participating in a segment of the overall industry, so it's not a perfect barometer and it's not a perfect predictor of the future for us. Nevertheless, it gives us reason for optimism and reason for being pleased with the performance that we had in the face of a downturn in the industry in calendar 2023.
Unidentified Analyst: So you make a good point and I read the same reports, but the general semiconductor industry reports basically more or less say that the improvement in 2024 is expected to come in the second half. Are you currently seeing improvement in the other floor or are your clients also saying, well, it's probably going to be coming in the second half.
Daniel Baker: We are seeing the same thing that while the industry seems to be improving and sequentially rather than decreases, we're seeing slight increases. So it's not a booming industry, but it's better. We're facing fewer headwinds. That is what we're seeing. And we do certainly look forward to a strong second half of the year if the industry forecasts are correct.
Unidentified Analyst: Okay, it's good to hear that you're already seeing improvement. Now you have a new networking isolator. Are you getting orders for networking for factory automation equipment?
Daniel Baker: We are and the specific new product we had extends our temperature advantage or speed advantage to high temperature products which was of interest to particular customers. It's a very harsh environment sometimes in factories. So being able to withstand high temperatures and transmit very high speed is an important advantage. And as I mentioned, we have best-in-class products that can transmit very high amounts of data, 40 megabits per second, which is just an incredible amount of data in a relatively short time through a complex network protocol. So those are important products and they serve a growing market, the industrial internet of things. So we're seeing some interest in them and we are optimistic about the future of those products.
Unidentified Analyst: And that is a new market for you, am I correct?
Daniel Baker: It's an existing market for us. We've always been in factory automation for a long time, but there are certain applications that we couldn't get into because of the temperature limitations. So we meet the industry standard 85 degrees Celsius temperature requirements, but we have customers who are interested in 125 Celsius, which is 257 Fahrenheit. That's pretty hot. But there are applications that require that. And even if they don't require it, it's a figure of merit that some of our customers want to be sure that our products have lots of margin and design margin and that they aren't going to fail even under extremely harsh conditions.
Unidentified Analyst: That's good to hear. Good luck. Thanks.
Daniel Baker: Thanks Chris.
Operator: Thank you. I would now like to turn the call back over to Dan Baker for any closing remarks.
Daniel Baker: Well, thank you for the questions. We reported strong earnings for the quarter and an increase year-over-year in cash flow. We look forward to speaking with you again at our next earning call, which will be in early May to review the full fiscal year. Thank you again.
Operator: Thank you. Thank you for your participation. You may now disconnect.